Operator: Welcome to the NICE Conference Call discussing Second Quarter 2017 Results, and thank you all for holding. All participants are present -- are in listen-only mode. Following management's formal presentation, instructions will be given for the question-and-answer session. As a reminder, this conference is being recorded, August 3, 2017. I would like now to turn this call over to Mr. Marty Cohen, VP, Investor Relations at NICE. Please go ahead.
Marty Cohen: Thank you, operator. With me on the call today are Barak Eilam, Chief Executive Officer; Beth Gaspich, Chief Financial Officer; and Eran Liron, Executive Vice President Marketing and Corporate Development. Before we start, I’d like to point out that some of the statements made on this call will constitute forward-looking statements in accordance with the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Please be advised that the company's actual results could differ materially from these forward-looking statements. Additional information regarding the factors that could cause the actual results or performance of the company to differ materially is contained in the section entitled Risk Factors in Item 3 of the company's 2005 annual report on Form 20-F as filed with the Securities and Exchange Commission on April 21, 2017. During today's call, we will present a more detailed discussion of second quarter 2017 results and the company's guidance for the third quarter and full-year 2017. Following our comments, there will be an opportunity for questions. Let me remind you that, unless otherwise noted on this call, we will be commenting on our adjusted results of operations, which differ in certain respects from generally accepted accounting principles as reflected mainly in accounting for acquisition-related revenues and expenses, amortization of intangible assets, and accounting for stock-based compensation. The differences between the non-GAAP adjusted results and the equivalent GAAP figures are detailed in today's press release. And I will now turn the call over to Barak.
Barak Eilam: Thank you, Marty, and welcome, everyone. I’m glad to be on the call with you today and very pleased to report continued momentum in our business. Q2 represented another strong quarter for both the top and bottom line, with revenue, operating income, and earnings per share, all achieving double-digit growth compared to the same quarter last year. Revenues were $350 million which was an increase of 34%. Operating income was $72 million, representing 27% growth and earnings per share came in at $0.90, an increase of 14%. The strong results that we continue to report are [indiscernible], as we generated a 131% increase in operating cash flow in Q2 compared to the same period last year. Also of considerable note, in Q2 with a nice balance we struck between cloud and product revenue. With a product strong year-over-year, double-digit growth and cloud revenue which also increased 8% sequentially over the prior quarter, and product revenue grew 9% year-over-year. Our consistently strong financial performance is the result of the ongoing successful implementation of the strategic plan we’ve put in place over the past several years. Last quarter, I shared with you our four specific pillars that are the foundation of NICE To Be, our strategic plan. We believe that these four pillars, cloud, omni-channel, analytics, and artificial intelligence are the full areas of our greatest growth opportunities to help us execute on our NICE To Be strategy. This week we’ve build a significant milestone in our NICE To Be strategy. We announced CXone, which is a giant leap forward for NICE and the industry by combining the best of Nice inContact and Nexidia. CXone is the industry's first fully integrated open unified cloud platform. CXone with its open architecture and hundreds of APIs is a platform for the customer service market, on which NICE and it's growing ecosystem of partner can leverage the value of our four strategic pillars to the benefit of any enterprise. And the core of the CXone platform are the powerful combination of the industry-leading Omni-channel Routing, Workforce Optimization, Analytics, Automation and Artificial Intelligence. The CXone platform is based on the unified, true open cloud foundation that delivers turnkey telephony [ph] for elasticity, its integration and enterprise great solutions that fit any size company. A little over year-ago when we announced the acquisition of inContact, we said that we’d introduce a fully integrated solution to help reinvent the customer service market. Since NICE and inContact came together, hundreds of our engineers have been working diligently to deliver on that front. CXone not only deliver with integrated solution, but go well beyond that -- well beyond that as a full platform, which also allows customers and partners to integrate, extend and enhance its capabilities. And a truly unified single cloud platform comprising enterprise guide [ph] solution with full functionality, in which companies of all sizes, CXone represents a significant competitive differentiation from NICE and exemplifies our expanding market leadership. Our four strategic pillars are not only the driving force behind the launch of CXone, that are also very evident in our Q2 execution. As we provide you with some examples of deals that illustrates how we are progressing on all fronts, including signing very large contracts, continued competitive replacement momentum, and the rapid pace of new customer acquisition. In reference to large contracts, we signed an eight digit deal with a major healthcare insurance company, extending our analytics footprint and replacing one of their existing vendors. We signed a large seven digit deal with one of the biggest tech companies in the world for analytics. We signed a seven digit deal with a major financial institution and long-term customer, extending our analytics footprint. Competitive replacements are another trend that continues in Q2. In addition to the eight digit deal mentioned above, we had the biggest ever European replacement of the major competitor and a seven digit deal with a major telecom company. Another replacement deal with a major health insurance company for our customer journey solutions. We signed a seven digit competitive replacement deal with a global financial services company for enterprise risk case management, and we closed a seven digit deal for AML and fraud with a financial services customer, replacing the incumbent provider. This was also a new customer. In fact, Q2 was a record quarter for new customers, assisted by the strengthening alliance between NICE and our partners. In cloud, we continue to see great momentum with NICE inContact. We signed well over 200 contracts, including 150 new logos, as we continue to drive growth with our integrated NICE and inContact suite of solutions. Other new customers included a seven digit deal with financial services company that was focused on compliance. There were new customers for our Real-Time Authentication solution, including three financial institutions looking to reduce average handle time and prevent fraud. We also signed one of the largest investment firms in the world as a new customer in a seven digit deal for our Back Office suite. It is also important to note that we signed 14 new logos in artificial intelligence and automation in Q2, which was on top of the 10 new logos we signed in Q1. These new logos included a seven digit deal which a large telecom company in addition to the other well-known enterprise brands. We are witnessing a very robust market for artificial intelligence and automation and we are well-positioned with our unique combination of attended and unattended automation, our AI enabled robots in our growing network of partners. In summary, as the competitive environment is changing and market disruptions are emerging, including acceleration of a shift towards the cloud, we’ve taken the lead by capturing the opportunities that these changes provide. The release of CXone is a key milestone in a string of successful accomplishments that demonstrates our agility, proves our clear market leadership, and validates our innovate -- innovative and winning approach. Moreover, we raised our guidance for the year reflecting our continued business momentum. I will now turn the call over to Beth, who will review our financial results.
Beth Gaspich: Thank you, Barak, and good day, everyone. I’m pleased to provide you with an analysis of our financial results and business performance for the second quarter of 2017, as well as our outlook for the third quarter and full-year 2017. The financial results represent continued operations and exclude the businesses that were divested in 2015. However, the cash flow statement includes the results of both divestitures. And now I will review the results. Revenue for the second quarter was $315 million, which represented an increase of 34% from $235 million in the same period of last year. Customer engagement revenues were $254 million compared to $172 million last year, and financial crime and compliance revenues were $61 million compared to $63 million for the same period last year. Product revenues accounted for 22% of total revenues in the second quarter. Cloud revenues accounted for 27% of total revenue, and services accounted for the remaining 51% of total revenue in the second quarter of 2017. Our recurring revenue has grown significantly and now represents 66% of total revenue compared to 52% last year. On a regional breakdown, revenues in the Americas were $244 million in the second quarter, an increase of 51% compared to the second quarter of 2016. Revenues in EMEA were $43 million for the second quarter 2017 compared to $48 million in the second quarter of last year. Excluding the impact of currency exchange rates, EMEA revenues were 45 [technical difficulty]. Revenues for the Asia-Pacific region were $28 million for the second quarter 2017,. an increase of 10% compared to last year. Gross profit in Q2 increased 34% to $222 million compared to $166 million last year. Gross margin in Q2 was 70.5% compared to 70.4% in Q2 last year. The gross margin improvement was due to the increase in revenue, as well as the continued improvement in the services organization, despite the consolidation of inContact which historically had a lower gross margin compared to NICE. Operating income in the second quarter increased 27% to $72 million compared to $57 million last year. Operating margin reached 22.8% compared to 24% last year. The change in the operating margin is the result of the consolidation of inContact and higher sales and marketing costs associated with higher revenue. The effective tax rate for the quarter was 20.8% for the second quarter compared to 19.5% in the same quarter last year. As a result of some decrease in the corporate tax rate in Israel, our tax rate declined from the prior quarter. We expect the tax rate to be approximately 21% for the remainder of 2017. In the second quarter of 2017, we had net financial expense of $1.3 million as a result of the debt we issued in connection with the acquisition of inContact compared to a net financial income of $2.9 million in Q2, 2016. Earnings per share for the second quarter increased to $0.90 compared to $0.79 last year, a growth of 14% despite the financial expense and a higher tax rate versus last year. Second quarter cash flow from operations was $69 million, an increase of 131%. Total cash and financial investments were $440 million at the end of June 2017 and total debt was $444 million net of issuance cost and the equity component associated with our convertible debt. As part of our share repurchase plan, we bought back shares totaling $8 million during the second quarter. And now I will turn to guidance. For the third quarter 2017, we expect total revenues to be in a range of $315 million to $325 million, and fully diluted earnings per share to be in a range of $0.89 to $0.95. For the [technical difficulty] we're reiterating revenues to be in an expected range of $1,330 million to $1,354 million. We're increasing fully diluted earnings per share to be in an expected range of $3.90 to $4.10. That concludes my comments. I will now turn the call over to the operator for questions. Operator?
Operator: Thank you. [Operator Instructions] Thank you. Your first question is from Shaul Eyal from Oppenheimer & Co. Please go ahead.
Shaul Eyal: Thank you. Good afternoon, Barak, Beth, Eran, and Marty. Congrats on another set of solid results and guidance. Barak, the CXone the way we look at it could become a longer term game changer, as you think about contact center migration into the cloud and I think the overall evolution of the contact center. Can you provide us with some more color on the capabilities? How does it differentiate NICE from the competition in product wise? It is the fact that an organization could be up and running within 60 days is the major differentiator? And with CXone, are you beginning to run into different types of competitors?
Barak Eilam: Sure. Thanks, Shaul on the question. Thanks for joining us on the call. So, yes, to give data, I will just give a quick background. As you remember, we acquired inContact about a year-ago, and as I said in my previous remarks we've been working diligently to provide the market on our commitment to integrate platform from -- the product from NICE and inContact into an integrated suite. What we’ve done way more than that and release CXone as a platform, which I will go back to that in just one second. Meanwhile, quite dramatic acceleration positive for us in some certain dynamics from the market took place in the last, I would say, 6 to 8 months, legacy players that’s holding the box share of the install base at the moment are going through a very significant financial stress and do not have a future proof solution in order to speak about cloud. We saw certain consolidation in the market of certain players that present certain challenge for them and for customers, since they have marketable and different solutions, addressing different segments of the market in a very siloed way and we feel certain new players coming into the market. All of those elements together created what we feel at the moment, which is a major acceleration in the market of customers, enterprise customers starting to look for migrating their solution into a future proof one and customer that have legacy solutions for many, many years, now deeply engage in both conversation as well as actual deployment and purchasing of future proof solutions. The release of CXone give us a lot of differentiation vis-à-vis all of the dynamics that I have mentioned. First, it is an enterprise grade solution that have the complete set of offering from both NICE, inContact, Nexidia. It gave -- it gives us a very significant benefit over several SNB and small competitors out there that are far from being ready with an enterprise grade solution in position. NICE inContact has a very strong viable solution for all segments of the market. The second thing, and certainly the fact that it is the nature -- native cloud solution using a public cloud, AWS with micro services with a very quick turn up and elasticity. It provide us a unique differentiation, one that we believe will take many years, if at all for the legacy players, the on-premise players to really catch up and customers do look for these type of capabilities and the platform the CXone provided. Lastly to one solution. It's one solution that cover all segments of the market, small and big. That’s from the -- fit all different sizes and it provide us a very significant differentiation, although vendors that are now consolidating that need to or coming to the market with marketable solutions for different segments of the market, and it's very hard for customers to understand whether they can scale up or down under a single solution. Above all of that, this platform is not just -- comprises for our own development. It is an open platform. We already have multiple partners as you’ve seen yesterday, and more are joining to provide their products and their solutions, anything that’s -- anyone that operate in the customer service market, and we believe that ecosystem will continue to grow. Hence, any enterprise that adopt CXone, not only can enjoy the very significant R&D resources innovation coming out of NICE, but also to integrate any technology out there and enjoy the very open platform that we have. Bringing all together, we believe it creates for us a lot of differentiation, opening a very significant gap, vis-à-vis the competitors that we see out there.
Shaul Eyal: Got it. Got it. And one additional, if I just may. Europe, was looking a little soft when compared with some of the other regions, reflecting probably overall recent market trends. Can you talk to us with respect to some of the dynamics taking place currently in EMEA?
Barak Eilam: Yes. It's not very different from what we’ve seen a quarter or two ago. First of all, there is some impact of the foreign exchange this year versus last year, that the strength of the dollar over pound and a euro versus last year, still impact all that. And we have some improvements during our operation, which we are taking forward as you heard in my previous remark. We had the biggest ever replacement in Europe. It's one of our competitor -- major competitor allow this customer if not to the largest of them, a full replacement of them. So we believe that the different tweaks of them to the operation there will yield positive results in the future.
Shaul Eyal: Got it. Thank you. Congrats, good work.
Barak Eilam: Thank you.
Operator: Thank you. The next question comes from the line of Greg McDowell from JMP Securities. Please go ahead.
Greg McDowell: Great. Thank you very much. Two quick question. The first one is, in previous calls, you’ve talked a lot about competitive replacements. But its duly noted that you seem to be talking about even more competitive replacement deals in Q2 than normal. So if you could just comment on whether or not replacement deals are actually accelerating? And if you could talk about some of the drivers for why that's happening in the market right now? Thanks.
Barak Eilam: Sure. So indeed it's been a few quarters now that we see very healthy trend of competitive replacements. Deep inside of a competitive replacement for both from a large competitor to really small competitors. I will contribute this success, I believe, a few things. I think the main one is obviously the breadth of our offering in few areas are now offering, that I believe, with open quite a significant gap, and it goes through the four strategic pillars I’ve talked about. So on the analytics front, we have, I believe today both with the historical NICE ethics in analytics and the addition of [indiscernible] the combination of the two, we have today a quite unique IP that is very hard to match, and we are even fueling it even further that getting us to positions where it's a no-brainer for customers to move into the inContact, it will be [indiscernible] to the analytic solution from NICE. So that's one area that I believe accelerating our competitive replacements. The second one is cloud. The market in a certain pace, different areas of the market is adopting cloud faster. Customers are more and more educated about the difference between XML cloud solution and the nature of hosted and other, which is not far from the on-premise with certain change in the commercial versus the real benefit of a tool cloud solution that allows them to have a future proof with very fast turn up, very fast innovation cycle, and that give us also a very nice competitive edge. The other tool, pillars also provide benefit to the replacement. As I mentioned, the Omni-channel, the fact that vis-à-vis some of the legacy provider, it's no longer that’s just a single channel we are going to complete customer journey versus some provider [indiscernible] have solution for very -- in a very silent approach for very specific channel that provide us another differentiation. And lastly, the recent addition of machine learning capabilities and artificial intelligence also give us some great differentiation. I talked about the momentum we see in automation. In fact, we are actually already replacing some of the automation vendors out there, that were not that fast to add cognitive capabilities and AI to their offering. And with the addition as well as the strong basic capabilities we’ve in automation, it also brought some of those replacements.
Greg McDowell: Great. Thank you. And one quick follow-up. I know you went into the detail already on the CXone platform. But I was just wondering about some of the mechanics, I guess, contractually for CXone and how we should view, the rate or the pace at which the existing customer base would migrate over to CXone from their existing NICE platform? So, I guess, a two-part question. Number one, contractually should we view this as a potential uplift in numbers as customers move to CXone-based contracts. Does it provide an opportunity to up-sell additional products? And, I guess, part b of the question is, what is the pace -- how quickly will the customer base migrate over to this platform? Thanks.
Barak Eilam: Sure. So we are aiming CXone to both, if you like, both parts of the market. Of course our existing customer base, but not less important a very large addressable market where we do not have the presence in today or not in that particular segment, we are with our certain legacy players that have a very significant market share and have legacy on-premise solutions, and some of those vendors right now are in a very significant financial stress and customers are very concerned about it. So we're aiming in those areas. We also as part of the CXone, released several migration options to customers and its part of our value proposition of the CXone which allow the customers to go anywhere from a light adoption and all the way to full adoption in day one. And since it's a very open platform, customers have the ability to choose which part of their offerings are actually moving to the cloud and it's in a full migration, meaning it's not necessarily moving the history or anything like that of the existing solution. Furthermore, we have designed CXone in a way vis-à-vis the existing customer base that there is a strong data compatibility. So customer that today have any type of solution, legacy solution from NICE have the ability to adopt different elements of CXone and having day one connectivity to their existing NICE and inContact, and Nexidia solutions that they have in either slowly or faster migrate into that. In terms of the actual [indiscernible] obviously we will monitor [indiscernible] report, but we already -- since the announcement on Monday, I can tell you we are getting a lot of traction, again both from existing customers as well as from new customers and prospects.
Greg McDowell: Thank you.
Operator: Thank you. The next question is from Jonathan Ho from William Blair. Please go ahead.
Jonathan Ho: Good morning. Just wanted to start out with the financial crime and compliance business. Can you give us a little sense of, maybe what happened with that business? It seems to grow a little bit more slowly this year or potentially decline?
Barak Eilam: Sure. I think we’ve seen it also last year and the same goes this -- the last two quarters this business grew very, very fast close to the 20% between Q4 and Q1. This quarter due to kind of slippage of couple of deals, we saw even a decline in this business in the quarter. We do expect much stronger second half of the year and still our expectation is to continue and grow this business in the double-digit. Similarly, last year if you remember, we’ve certain quarters that were even flattish and then followed by very strong growth. And we expect the same phenomenon with certain quarterly lumpiness in this business, but overall the trend that we expect is continuing to grow double-digit.
Jonathan Ho: Got it. And then, can you talk a little bit about the distribution channel, and maybe what changes come with CXone? Do you need to continue investing in the channel to go more direct? I just want to get a sense for what that means in terms of the changes?
Barak Eilam: Sure. So let me talk a bit about the overall ecosystem that we are planning to further develop, given CXone announcement. So already today we have a very robust network of partners that are taking us to the market, both the legacy NICE and inContact. And today as I’ve mentioned on the previous conference call, since the acquisition many of those partners adopted both sides of the house and are now selling solution from NICE and inContact and the combined offering. With CXone a lot of those partners will start of course to resell the platform as well and be part of the growing ecosystem. And we are continuing to [indiscernible] that. This is very attractive, since it is covering all segments of the market and available in all geographies, it is becoming very attractive to partners from all sizes and we believe that network will grow. Furthermore, CXone have now two additional programs. One is CXexchange, which basically allow technology partners and solution partners to come with their own products and offer them on top of that platform, so customers can choose to connect with the many APIs that we’ve either existing or future product that they want to the platform. And we also have the ability to work with some of the technology partners to resell their solutions and enjoy some of those revenues. And lastly, we have the DEVone program, which allows actually IT developers either customers or system integrators or any other IT developers to further integrate and develop new solutions on top of the platform. So as you can see this new approach or updated approach allowing us to be even more friendly in inviting to any type of partners and resellers as well as technology partners, and we believe that the ecosystem will just continue and grow.
Jonathan Ho: Great. Thank you.
Operator: Thank you. Your next question comes from Walter Pritchard from Citi. Please go ahead.
Walter Pritchard: Hi. Two questions at my end. I guess, first one on the guidance for the year, you raised the earnings guidance and didn’t raise the revenue guidance. Can you just make sure we understand the nuances there and what drove the raise of EPS without the raise of revenue?
Beth Gaspich: Sure. Thank you for the question, Walter. As you highlighted, for the revenue guidance for the year we reiterated the revenue in terms of what we’ve previously guided and increased on the bottom line. And essentially the guidance we’ve provided with the revenue, we’ve basically been very close, in terms of the actual results, both in Q1 and Q2 for our actual performance versus the guidance that we gave. And looking forward in to the second half of the year, we are comfortable that where we’ve previously put the guidance, so we’re still seeing that in terms of the appropriate level of revenue. On the bottom line for the EPS, if you might recall, we actually outperformed in the first quarter on EPS and we rose the guidance at the end of Q1. And during this quarter, we again beat the bottom line in terms of the midpoint of our range by about $0.03. So we felt it was appropriate obviously to attribute the outperformance from the current quarter into the full-year EPS number, as well as at this point in time as we look at the second half of the year, we continue to have a lot of focus on profitability and operational excellence. We will continue to have that same focus. And we have adequate visibility to be comfortable that that's the appropriate guidance based on the view that we’ve for the remainder of the year.
Barak Eilam: Maybe I will add to that, Walter, one of the thing that you can see on the results and we are very satisfied with that and we obviously attribute our increase in the profitability and increase in the guidance of profitability is the gross margin, which we look on the gross margin this quarter versus Q2 of last year, actually it increased, while we actually added a very significant cloud business of inContact, which was at a much lower gross margin. So we are very happy with the optimization that we are doing in the gross margin, which is going well -- well and beyond our expectation.
Walter Pritchard: Then just second question on the security issue that you highlighted in the press. I understand, I guess, a bit more has come out in terms of what happened there, but sometimes those issues can impact sales cycles. I’m wondering is there any evidence for that or anything you report back in terms of impact from that news?
Barak Eilam: You know we haven't seen any impact. Obviously, we were informing or updating any customers that have any inquiry on that, it was a singular event not related to any specific product so far. As we said a human error, unfortunate one, but we overcome that quite quickly and we haven't seen any impact to the business.
Walter Pritchard: Okay, great. Thanks for taking the questions.
Barak Eilam: Thank you.
Operator: Thank you. The next question is from Dan Bergstrom from RBC Capital Markets. Please go ahead.
Dan Bergstrom: Hey, thanks for taking my question. Most of my questions have been answered at this point, but we’ve noticed that there is a NICE inContact road show taking place in markets in the third quarter here. From the agenda, it really looks like you're highlighting the move to the cloud and analytics. Just curious, if you’ve done anything like that in the past? And then, is it geared more towards demand generation around the new platform or just to move existing customers to the cloud on new solutions?
Barak Eilam: Thank you for the question, Dan. So, yes, we have announced this road show. Actually the road show itself came from a demand from customers to see at -- in different places as you know we have many way to market our solutions. We have the annual user conference of ours, which is the biggest in our industry, which happen once a year and many of our customers and prospects arriving to this event, as well as a lot of virtual [ph] events, that’s from time-to-time when we see the demand customers would like us to give road show and come to them. Right now what we see is a lot of customers that have legacy solutions would like us to come as a trusted advisor and educate them on cloud, the old one and move to the cloud. They know what’s the endpoint, the end game for them. They know what’s the starting point today and it's a lot about how you get from point A to point B, and that's the main reason for the road show. Obviously, CXone will be a very significant part of the road show, already from the announcements we got [indiscernible] and we invited them to join the road show when we obviously have very high registration for this road show. So its along the way for us to interact in a very effective way with customers, but also with a lot of prospects. Lot of prospects arriving to those road show.
Dan Bergstrom: Thank you.
Barak Eilam: Thank you.
Operator: Thank you. The next question is from Tavy Rosner from Barclays. Please go ahead.
Tavy Rosner: Hi, everyone. Most of my questions were answered. So maybe just two quick one. First, the sale and margins -- sales and marketing slightly higher than usual on a percentage of sales basis. I was just wondering if that’s just a one-off or if we can expect this level to stay higher as a result of the inContact acquisition?
Beth Gaspich: Thanks for the question, Tavy. So if you look at the sales and marketing as a percentage of revenue, you will see that there is some quarter seasonality. And, in particular, in Q2, we generally and we did this year as well have our annual user conference called Interactions that occurred. And by the way we had a record turnout this year, which we are very happy with. So that resulted in some increases in comparison with the prior quarter as a percent of revenue, as well with the launch of CXone as you can imagine that was always in addition to some investment and focused around having an appropriate launch. So those were really the two primary drivers for the increase. So it is not something that we look as kind of ongoing, but a bit of the quarter seasonality.
Tavy Rosner: Okay. I appreciate that. And on the -- lastly in regards to the integration of inContact and the streamline -- streamlining aspects of it, where are you in the process and are there anymore cost cutting that you can do there or is it just reflected in the numbers?
Barak Eilam: So, obviously inContact fully in our numbers, I think from integration the highlight of this quarter or the highlights that came out this week. but it's a lot of work that was put in the last -- more than 12 months in the launch of CXone as I’ve mentioned. Hundreds of our engineers work on this project in the last 12 months diligently with the goal to release it indeed on time, as we committed to our customers, into the market. And we even feel those surprise, if you would like, positively the market that it's not just a suite, but they’re a full platform. And we are very happy. I think it's great evidence of the integration. Other type of integration ongoing as planned, again inContact is -- we keep it of course with all of their -- all the management over there and it continue to operate great. But a lot of sales synergies, marketing synergies, and corporate synergies are in place in order to of course further accelerate our plans and we are very happy with the integration at the moment.
Tavy Rosner: Thank you.
Operator: Thank you for your question. Your next question from Paul Coster from JPMorgan. Please go ahead.
Paul Coster: Thanks very much for taking the questions. So, Barak, you mentioned the artificial intelligence is one of the four key pillars. Can you give us some actual examples of customers that have deployed it and for what application? And to what extent can this go down market?
Barak Eilam: Sure. So as you know, historically NICE has a lot of assets in automation in both the markets where we play in, both in the customer engagement domain as well as in the financial crime and compliance. And as I think we all know this is very human or labor-intensive type of work. And if you look on all those environments, one of the things that characterize this environment that there were a lot of legacy backend applications in order to operate and manage very basic stuff, and very basic activities. And of course for many years, us and many others and of course the customers would like to drive operational efficiency. If you look on those task done by a labor or the human being, many of them can be automated. And in the last two years we follow robotics technology with managed and constantly automating a lot of those processes. There are a lot of -- there were though still a lot of low-hanging fruits in many of those processes, for example certain process to wrap up of [indiscernible] in the customer engagement that even after the interaction with the customer and there can be 5, 6, 7 minutes of a lot of backend processes that we could be done by the [indiscernible] and many of them are repetitive and can be replaced easily by a robot. Same goes for example to our financial crime and compliance business where banks are constantly trying to reduce the compliance costs and if you look on tasks like basic investigation, down for case management or anti-money-laundering processes, also done for case management, those are very repetitive tasks and we’ve started with our robots to automate it. The way it was done up until, I would say, [indiscernible] ago it was done by mapping those processes and then guiding the robot to follow a very, very specific flow. It's still extremely efficient of course and there is still a lot of opportunities to go ahead and do that. But what we do today more than before is we added cognitive capabilities at those robots. Instead of teaching the robot, the robot actually for machine learning is observing, if you would like, what you will be doing and finding different patterns and at certain point, if you like, I will try to visualize it, the robot actually raises his hand and saying wait a minute, I can take it from this point on and actually I can do it even better and even faster. And these are the artificial intelligence capabilities, and the cognitive capabilities we are adding. And it's quite astonishing to see the different capabilities in those field and the amount of opportunities and efficiencies those can drive. So this is the direction and these are the usage and the use cases we see. And I think you see both in Q1 and Q2 the accelerated adoption, 10 new logos, completely new logos in Q1 and 14 new logos in Q2 and the pipeline moving forward seems to be very promising.
Paul Coster: Okay, got it. As you think about growth, Barak, can you to some extent for us rank the opportunities in front of you? Is it the new logos or competitive wins, is it expanding into the mid market, is it cross-selling to existing customers? How do you think of your opportunities in terms of ease and magnitude?
Barak Eilam: I would say that its -- almost I would say, it's all the above. We are, I believe, in a certain unique point in the history of the Company, we’re giving the different strategies we’ve executed on. We have opportunities in all of those areas. And I will explain it briefly. First of all, we believe that the trend of the competitive replacements that’s within the last two quarters will continue and potentially will accelerate given the market dynamics, given that some of the vendors out there did not prepare themselves, both of the transition to the cloud, as well as to the most sophisticated IT we have in our offering. The second thing is the trend that we also see for several quarters and potentially you can accelerate. At the higher end of the market it's in the past we -- it took us three or four cycles to sell different products for our portfolio, one at a time to allow this customer. I think the evidence or the conclusion that you can derive from the [indiscernible] reporting quarter-after-quarter is that many of our Fortune 500 customers are deciding to grow with multiple elements of our portfolio, all in day one. And as a result of that, it is accelerating, seen that in the past, took several years to adopt. And lastly for the first time in the history of NICE, giving the acquisition of inContact and the growing ecosystem around us, we are also well-positioned to the midmarket and below. We have learned a lot from the acquisition of inContact and we see today people that are experts in the SMB market with [indiscernible] machine to address this market and in the same time NICE educated the inContact people about what does it take to go enterprise and enterprise grade. And the offering that we’ve today can address all segments of the market. Cloud helps a lot, because cloud solution is feasible to take a single solution and addresses all segments of the market, all at once, which was some [indiscernible] in the past with just on-premise solutions. So wrapping it all together, we see opportunities indeed in all of those areas, and we are trying to maximize our efforts on all of them.
Paul Coster: Great. Thank you very much.
Barak Eilam: Thank you, Paul.
Operator: Thank you. Your next question from Jeffery Kessler from Imperial Capital. Please go ahead.
Jeffrey Kessler: Thank you. Thank you. Hello, Barak. Looking at the ecosystem that you’ve built around you, and looking at the customers that you have been talking to, you’ve been winning, but the ones now that you are talking to in the pipeline, what areas -- in what vertical areas do you think are going to be most receptive to the new platform most quickly? Will it be financial, will it be retail? Is it going to be -- and how can you split it up between the old, let's say, modernizing the old customer relationship desk versus those customers that want to start new -- on new who have not had those desk before, how can you start them up de novo?
Barak Eilam: Sure. So, we’re -- virtually we’re trying to forecast six and nine months ago, and I’m getting this question which verticals are more likely to accelerate, their move to the cloud and adopt those type of direction? And I actually will say, it's all the above. And it's in the past, it was certain vertical were earlier to adopt in a cloud solution, in other solution. We see this [indiscernible] everywhere. Having said that, I will tell you that why everyone are adopting the outsets in the industry, just as an example that have a significant change by the [indiscernible] and by the quarter in the number of interactions, customer interactions are managing and the cloud provide a very significant benefit to those customers, retail as an example, travel and tourism and few others, because of the elasticity of the cloud, it allows them to manage those cost in a very effective way versus the legacy solution that they have. So we are addressing all verticals with that. I think that what you see in our results in Q2, which is not the first time, and it's very interesting and we said it in the past and we were asked while our cloud business is going, not just year-over-year, it grew sequentially in a very nice way and can [indiscernible] the potential growth moving forward also the on-premise the product business of our -- the perpetual business grew very nicely this quarter. And when two are growing so fast nicely -- so nicely, you can see a very nice adoption of the higher-end while the cloud is gaining momentum and it means that we’re not necessarily cannibalizing our own install base, but further gaining momentum and gaining share.
Jeffrey Kessler: Okay. One follow-up question. So, several of the legacy service providers that you’ve gone up against and probably taken some share from have talked about and increasingly talked about moving, improving their platforms, moving up to the cloud, realizing that they’re still in most cases or maybe all cases behind you, what do you have or why -- how are you looking over your shoulder? What are you doing to make sure that you stay ahead of competitors who in some cases have significant resources that throw at something, even though they may not have the DNA that you have to make something out of cloud base?
Barak Eilam: So indeed there are certain, I think, for us the beauty of the customer service market and specifically the Omni-channel one and the routing market that it was dominated for many years by several vendors that slowly but safely reduce their R&D investments, almost to the very minimum of several single-digit percentage of their revenue. I think that what we see and my interpretation and what I hear from customers today, the difference of sales and breaking point in terms of customer willingness to continue invest in something that haven't seen any significant innovation in R&D for years. Shifting their solution to the cloud, the on-premise solution to the cloud, and you can see it in many other enterprise software industries require very significant investments. When we evaluate that about in the last two years, we figure out that the right way for us to do it is by making sure that we are joining forces with some [indiscernible] this investment, actually in the last 10 years, building a company ground-up, fuel it from the cloud and that is being inContact. I think it's a major asset that we have. To replicate that, not that it's not feasible, it requires many, tens and hundreds of millions of dollars. So [indiscernible] that would like to enter or to migrate into that. And I think by that we’ve opened quite a significant yet. Yes, there is a competition out there, but we also continue on investing, invest heavily. I think we know by now what it takes to full customers to migrate to cloud in an effective way and CXone from our perspective is that platform. Once again, its native cloud through cloud and enterprises today no more understand that what when they move to the cloud, they really want to gain the full benefit of the cloud, which can come with such a solution and anything in between which is a hosted solution or a single tenant cloud or cloud that is not there fully -- complete is not what the enterprise market means. And I believe that we have it and of course we will continue to advance. And we will continue to side out there against all the competition.
Jeffrey Kessler: Okay, great. Thank you very much. I appreciate it.
Barak Eilam: Thank you.
Operator: Thank you for your question. That was the last question. And I hand back to Barak for closing comments.
Barak Eilam: Okay. Thank you very much everyone for joining us, and have a great day. Thank you.